Operator: Good morning, good afternoon, everyone. Welcome to our 2023 financial results. Joining us today is Gary Nagle, CEO; Steven Kalmin, our CFO; Peter Freyberg, our Head of Industrial Assets, and [indiscernible], who's going to be replacing Peter when Peter retires next week.  I'll hand over to Gary.
Gary Nagle: Thanks, Martin. Good morning to those in the room. Good morning and good afternoon, good evening to those dialing in or by the webcast. Appreciate your time, and thank you for joining us today for our 2023 results presentation.  So we'll follow a similar format to previous years. We'll start with the scorecard on how we've done and a very, very strong financial year for Glencore, adjusted EBITDA of over $17 billion, made up predominantly, obviously, given our business structure of asset business of $13.2 billion. That's the biggest proportion of that coming out of our energy business, in particular, our coal business. Coal had a very strong year. Clearly, lower than the previous year after the extreme highs we saw in 2022 given the geopolitical tensions and the higher energy markets, but still a very strong coal year and a pleasing result for coal.  Metal is a little bit weaker as a result largely from weaker metal prices, particularly in cobalt and cobalt payables and some weaker nickel process. Our marketing, once again, achieving above the top end of our range. As you know, our EBIT range and guidance for marketing is $2.2 billion to $3.2 billion. So a very pleasing result of $3.5 billion above the top end of the range. We've done that a number of years in a row now. And the opportunities have been in the market for it. We've seen arbitrage opportunities. We've seen higher vol, and that's allowed us to capitalize on these opportunities and post very good numbers.  The other pleasing aspect about our marketing results this year is it's pretty much a 50-50 split between energy and metals. Metals coming back very strongly. So we're very happy to see all parts of the business contributing very strongly in the marketing business. Net debt at $4.9 billion. Steve will talk a little bit more about that later. And distributions to shareholders during the course of 2023, a little over $10 billion. So we've really paid back our shareholders, given back $6 billion in cash, approximately $6 billion in cash and $4 billion by way of buybacks during the course of 2023.  And then lastly, today, we announced our dividend, as you all know, we have a very transparent and open dividend policy. We always pay $1 billion of cash from our marketing business and 25% of our equity free cash flow out of our Industrial business. So this is something that has clear transparency for the market, much of the street expected this dividend. So it's a $1.6 billion return to shareholders.  Now obviously, in other years, we look at top-ups around our net debt target. But given the EVR transaction, the capital to be spent to once we close that transaction by Q3 of this year and our intention later on to bring net debt down and spin out the business. We are not declaring any top-up, but this is our normal transparent and base dividend that we declare.  Moving on to our ESG scorecard. On the climate strategy, we continue to keep to our progress and make good progress in terms of our Scope 1, 2 and 3 emissions. As a reminder, we've used 2019 as our base year, and we will run down our coal business as the primary driver in terms of meeting our Scope 1, 2 and 3 emissions. We're the only major mining company that has these strong reduction targets for Scope 1, 2 and 3, will be 15% down by 2026 and at least 50% down by 2035. And how are we doing that? We're shutting our steam coal mines. We've already shut 5 and there'll be another 7 mines closed at least 7 mines closed, in fact, by 2035. We're on course, we're on target, and we're doing our share for the environment.  We will come out with a new Climate Transition Action Plan in 2024, as you know, we put this out every 3 years, and we bring it to shareholders. We've had very constructive consultation with our shareholders. Our shareholders have been largely very supportive of the path that we've embarked on. And in March of this year, we'll issue their Climate Transition Action Plan.  And in terms of our critical minerals, our future-facing minerals and metals, we have a expansion opportunities, some of it through inorganic growth and some through organic growth. I'll talk a little bit about our copper portfolio a little bit later in the presentation. On the social side, very disappointed to say that we once again have lost 4 of our colleagues during 2023. It's something that I know is very close to Peter Freyberg's heart and with his retirement, it's something he want to do ensure that we were down to 0 fatalities because like him, I believe that we can run and will run a 0 fatality business and send everybody home safely every day. He's done terrific work in the business.  We all have in terms of strong visible leadership, driving the fatalities down in our business and our fatality frequency rate now below the average of the . However, it's still not good enough, and we have more work to do to reduce harm in our business.  On the governance side, we maintain and we are committed to a responsible -- being a responsible and ethical operator wherever we operate around the world. We have a couple more investigations, which we hope to finalize soon. And we have 2 independent compliance monitors in the business. It's been a very constructive process with them. We're working very well with them, and we believe we'll be a stronger and better company through the engagement and work with these compliance monitors.  A little bit of a scorecard, which new this year, a scorecard on what we've done in terms of the portfolio management. As you know, we announced late last year the acquisition of EVR, 77% of EVR for $6.93 billion. This is a long-life, low-cost, high-quality, best-in-class coking coal business in a terrific mining geography. We're very excited to integrate that business into Glencore. And as I said earlier, we expect that transaction to close by Q3 of this year.  We also brought out the remainder of MARA, the 56% that we didn't own to move to 100% ownership in this brownfield copper project. It's a terrific copper project. It is low capital intensity, long life, good grade copper project in Argentina, very near the old Alumbrera, very close to the old Alumbrera. So the ability to bring this to market when we want to bring it to market is derisked significantly given the brownfield nature of that business.  Our joint venture with Teck in the New Range copper nickel project, we had, in fact, established that joint venture in the previous year. But during the course of 2023, we bought out the remainder of the in the Polymet company, which we were the majority shareholder in. So now we've gone to a full 50-50 joint venture where we own 100% of our 50% share in that joint venture.  Another brownfield project, and we look forward to working with Teck on developing that as the various approvals come through. And lastly, an acquisition of 30% of Alunorte and 45% of MRN in Brazil, this is one of the world's biggest and one of the world's best alumina refineries. It's low carbon. It's a terrific operation, very efficient operation. We closed that transaction towards the end of last year. We're very happy to partner with Hydro, a world-class organization. And this is a Tier 1 asset that very -- that fits very well into our portfolio.  On the sales disposal side, as you know, we announced our Viterra Bunge transaction, $1 billion of cash, $3.1 billion of Bunge stock. Again, that transaction we expect to close sometime around the middle of this year, a value-accretive transaction for Glencore, a bigger, better agricultural business created by putting these 2 excellent companies together.  Mopani is an asset that, as you know, we sold to the Zambian government a number of years ago using a vendor finance loan that was the structure. We now -- the government of Zambia has now entered into agreements or about to finalize agreements with a buyer where we will be able to recover a portion of that loan. So we look forward to that cash flow coming back into Glencore.  Koniambo, as we forecast and foreshadow during the course of 2023, we said that come the end of -- come Q1 of this year, we would -- well, we would work to ensure that we are committed not to fund ongoing operating losses. Now we work very closely with the French government. We're very closely with our partners in New Caledonia. Given the state of the nickel market and the significant changes over the last 18 to 24 months, as you know, we've announced the decision to transfer Koniambo into care maintenance -- warm care maintenance from the first of March of 2024 for a period of 6 months. And in that period, we'll investigate the opportunities for a partner to come in and take over our share of Koniambo. But we've kept our commitment to the market, to our shareholders, to our stakeholders that we will not continue to fund operating losses in that operation.  And then lastly, Volcan. Volcan is an asset in Peru. As you know, it's a sale process underway, and we're looking to see a result from that process sometime in the coming months. And with that, I'll turn it over to Steve.
Steven Kalmin: Thanks, Gary. Good morning to those in the room and those that are off on the screens and listening through our webcast at the moment as well. I'll spend the next few slides obviously, running through our '23 performance. We'll look at balance sheet and capital management as well, spend a bit of time on the '24 to '26 guidance. but more information is being delivered here at the annual results presentation in respect to projections around CapEx and cost of production over the next 3 years, which otherwise would have come at the time of the investor update in December, which we held it back for this presentation. And we'll, of course, do our update as we do at regular times during the year in respect our illustrative spot cash flow generation at spot prices and just looking a few EVR slippers that we'd look to introduce use there on some sort of pro forma basis as we look forward.  So on this slide, Gary has spoken to many of these points. We'll get to more detailed slides later on, but an EBITDA, 17.1%, quite healthy by historical standards, not particularly material, but there was sort of towards the sort of accounting adjustments back in the copper business, it was around $200 million of some noncash inventory-related adjustments that went through at the EBITDA as well, obviously, not cash flow flowing through. So you could arguably add back that sort of too, and I'll talk a little bit about it impacted costs and reported results on the copper side. So could have been 17.3% before that number as well. We'll get through the EBITDA waterfalls, the EBIT slides as well.  Net debt at $4.9 that also in context of having paid out, as Gary said, $10.1 billion of shareholder returns during 2023 and having expended money on CapEx and developing the business. Readily marketable inventories has come down a bit with some of the lower prices as one might expect, but that's working well within the business given the strong marketing performance and embedded ROEs within that business as well. Very strong healthy liquidity levels within this business, $13 billion at the end of December, committed lines.  We have increased that in February by signing an additional $3 billion committed 1-year facility. So sort of more like as we sort of on a pro forma basis as we look at our liquidity position from that will, of course, through the cash flow generation, our ongoing refinance activities that will allow us to quite comfortably fund EVR and generate the cash that we're doing at the moment with a net debt adjusted EBITDA of just and still comfortably in that very low levels on any pro forma basis.  If we look at the industrial headline, as I said, there will be a more detailed waterfall slide, which will run through the different variances, overwhelmingly, it's down to commodity prices during the course of 2023, quite a bit on the energy side, just given the leverage we have clearly in that business as well, producing around 110 million tonnes, and we saw realized coal prices some of the main indexes were down roughly 50% period-on-period, but good cost contained within coal, and we'll see that as we look at some of the cost analysis going forward. Realized prices across cobalt, zinc and nickel also had their impacts as well, but still a healthy historical standard and still quite good percentage margins as we look our way through.  Within the metal side, quite clearly, it can be a differentiator positively or a headwind at the moment is our cobalt business as well. It is a commodity aligned with nickel and maybe lithium on the battery side that is suffering from oversupply and best prices at the moment. So that has heavily impacted some of the Copper Africa earnings where we've produced 40,000 tonnes of cobalt production in 2023 and it's not only the 50% reduction in metal prices, also the payability on the hydroxide that had moved from somewhere in 70s to potentially low 50s during the course of the year. So the actual realization for us on product out of DOC was more like 65% down as opposed to the metal of 50%.  And of the copper earnings, which we'll see later on within -- the overall metals business was down 3.8, 1.8 of that within copper and the African business was 1.4 of that 1.8, which was our KCC Katanga operations as well as Mumi and just pure cobalt was around $600 million, $700 million purely year-on-year in respective realizations on that business as well.  The other big year-on-year variation within the Metals business was in nickel, which was EBITDA flat for the year, having generated around $1.3 billion. And in that $43 million was negative $455 million, just on Koniambo, Gary spoken about trying to arrest and reduced the funding and cash consumption, which unfortunately, we've been exposed to over the last number of years as we go forward. And as part of illustrative cost and cash flow analysis going forward, we see that nickel business ex Koniambo at these prices being roughly at $500 million business. So we'll see a nice pickup.  Obviously, still a relatively small part of business, but should start being turning from a quite a material drag in earnings to something that does contribute certainly at the margin, while we see how nickel goes more long term. Obviously, energy was the coal story as we'll see on the next page. In terms of variations, overwhelmingly, you sort of see a magnifying glass to see some of the other bars. If you look at price on the 13.1 as we work our way forward. Of that 13.1, 10.3 of that was purely in coal, other than that almost explain all of the coal year-on-year variance. And that's across, particularly in thermal coal, where we see Newcastle and API4 is down 52%, 55% as well. On the metal side, which cumulatively was $2.4 billion down in variance. It was pretty much equal contributions from the copper business. But within that, it was really cobalt. We were 0.7 down in the copper business 0.6 was cobalt. Copper itself was relatively resilient during 2022, '23 and should be very supported and healthy going forward. Zinc was 0.7 and 0.9 as well. We've shown some of the realized variations in our production report a few weeks ago, we showed the realized price period on period in zinc was 27%. Metal was -- in nickel, it was actually 28% notwithstanding that 16% was the metal price movement during the year. And that's the huge discounts that opened up particularly for the ferronickel product out of Koniambo, they were just expanding as that product competes particularly with the Indonesian NPI.  So pricing was the main factor. As we look -- this is obviously a full year scorecard on volume cost and volume, we finished flat for the year, we're actually negative at the half year at minus 1.3%. So there was a positive pickup in volume. We had a strong second half performance pretty much across the board. You would have seen that in the production report quite recently as well. And finishing the year at 0 was a little bit -- was positive in particularly in coal, having recovered from some of those weather blockades, other logistical disruptions that we saw in 2022. There was a bit of a pickup in coal volumes and some small -- and some negatives across the Metals business that contributed negative 0.7% on volume. That was 5% lower on copper and cobalt some in Africa, some in smaller businesses and nickel pretty much across the board and see later on in our guidance on nickel in '23 into '24. We'll see a pickup both out of our Australian and Canadian business. And that anchors a business that at least has some positive contribution at an EBITDA level as well.  Cost as well, pleasingly, we have peaked and we've seen the worst of the inflation cycle through the current cycle at 1.3 costs, 1.1 of that was seen in the first half of the year. And in fact, the point 2 that's just there notionally now for this period is really just that noncash copper adjustment that I spoke to earlier. So it was flat on cost, and you'll see the some of the cost analysis historically in '23, '24. Cost in all of our businesses has been moving down and as a function of inflation having peaked a function of volume and other efficiency is that we -- that we got within the business. So cost zero, that's in local currency, nominal costs as well. We've had some sort of benefit from some of the currency depreciation, particularly within Australia and South Africa as well.  Over the full year, some of the cost the increases that we have seen, but they really -- they were really something that we were tackling earlier in the year. As I said, they've peaked and in some cases, they've even moderated. It was across explosives and freight on the coal side. Of course, in South Africa, we've moved to more trucking much more expensive within that particular business as well. That does come through the cost line. Reagents and explosives also the copper business. We've seen labor consumables in the nickel business. And down in South Africa, electricity, obviously, is a continuous challenge down there in terms of the local costs. We picked some of that out through the rand depreciation, but that does go through that particular level, at that particular alloys business.  If we then look quite a busy slide, and [indiscernible] has done a good job of consolidating maybe might have been sort of 3 or 4 slides historically, but this gets all the main commodities as a '22 to '23 recap across classic cost volume profit analysis that we have across copper, zinc and nickel and coal with some explanations at the bottom across all 3 of those categories.  Production, I think we've covered quite well in the production report. We'll see how '23 obviously rolls into '24 to '26 on the upcoming slides. But in terms of copper finishing at $4 billion with that noncash, it would have otherwise been $4.2 billion before some of those year-end adjustments, particularly in the African copper business as well. The big impact was clearly the -- by products, where we went from a created across the business to just $0.50 in 2023, $0.48 increase. Headline you can see before byproduct $185 million went to $220 million take out the $0.10 noncash, that really was $185 million, up to $210 million. That was up about 13% year-on-year in terms of cost before by product. That was the inflationary pressure coming through the business that's moderated and in many cases, [indiscernible]. do come down as well. As we look forward, spot illustrative for the copper business now is a little bit above 4%. We're at 4.1%, slightly declining cost structure in '24 held back by lower Antamina tonnes, which impacts our copper business should then start working its way down as we get through the next 2 or 3 years.  On the zinc side, 2022 a tough year in the zinc business, particularly exposed to European power prices and the smelting part of the business. That's been part of the reduction in costs from the 321, you can see to the 308 during the year, byproducts relatively flat. And peer-on-peer, we were $0.42 a pound in first half, 49% for the first year. Price really reduces quite heavily post by-product as we go into 2024. We've got the ramp-up of , which finished the year ramping up in 2023 really well. We're still going to ramp our profile during 2024. We'll look at some of those trends going forward.  So at $1 billion of EBITDA last year, it's the biggest pickup on the spot illustrative to do with cost and volume picking up somewhat. It's looking at a sort of a $1.8 billion business as to where we see it at the moment. Nickel having been flat given that's with Koniambo, we'll look what it looks like that business without Koniambo in '24 that looks at it illustrative at $0.5 billion business going forward. And coal, of course, $8 billion with still higher margins as we saw an average Newcastle price during 2022 of 360 in '22, 2023 was 173, we're running spot illustrative at a Newcastle anchor of 122. That's still a very strong business at $4.5 billion of EBITDA, generating a lot of cash because it's really sustaining CapEx and the ongoing managed rundown of that business over the next few decades, if we like.  So I think that's a historical context. I think more meaningful, we'll be really looking at that business over the next few years and some of the cash flow generation, all of which is very healthy at the moment.  On the marketing part of the business, as Gary said, a strong outturn of $3.5 billion. You can see at bottom right, by historical standards, it looks strange relative to the 2022, sort of outlier maybe a once in a x number of years event. We were happy to take that. It certainly contributed both in the marketing and the industrial to those outsized return, but it shows the leverage and the capability of this business that will -- that can turn and outperform during particular periods of both energy and other commodity shortages and spikes that we may have as well, a good even contribution at 1.7 a piece across both metals and energy and even between first half and second half was very stable, 1.8% in the first half, finishing at 3.4%.  Guidance for what it's worth at this stage. It's obviously early in 2024 is sort of $3 billion of EBIT anchored around middle of the range -- a normal middle of the range of $2.7 million. We still an elevated interest rate environment. Part of our EBIT is capturing interest that's recovered through our transactional terms. So you are recovering that at some sort of additional spread relative to what would be a more normal interest rate environment. So quite comfortable on that $3 billion wouldn't be putting less than that in models at the moment as we look to 2024.  If we then look at the net debt trajectory started the year flat. And we had funds from operation, $9.5 billion. That is after, which is part of how our funds from operations, it will be your operating cash flow, that's post-interest, post-tax. There was a very material lag on our tax payments in 2023, H1 '23 in respect of the particularly the energy earnings in Australia and Colombia through 2022. Mechanically, you pay provisional taxes. You filed your return in Q3 of -- I mean, Q2 of 2023, and you pay these big catch-ups in respect to the previous year. That was $2.7 billion $1.8 billion in Australia, $0.9 billion in Colombia. And if you look at Page 27 of the financial statements, you'll see the income tax payable loan has gone from $4.6 billion, which sort of reflected the fact that we still had to catch up has gone down to $1.8 billion, there was a reduction of $2.8 billion. So that's just a obviously had to be paid, absorbed, and we're very happy to do that. The more tax, the better, clearly within earnings, but you have some mismatches and you have some timing.  The net CapEx cash flow at $5.6 billion, we are in line, headlines, $6 billion of sort of capital that went on to the balance sheet. There were some proceeds and disposals and new leases, but net cash was $5.6 billion. We dispersed 0.5% on M&A. All items were mentioned by Gary, we bought the Alunorte towards the end of last year, around $0.7 billion. We bought out the majority of MARA to o take 100% at about $0.5 billion and we got most of our proceeds during last year at about $0.8 billion. There is some deferrals that are still going to come through. The were $275 million deferrals. In fact, one has already been paid as Mace capital raise over in Australia in a few weeks' time. So 75, and we've still got different contingency amounts that's still part of that consideration. We released some non-RMI working capital, $2.8 billion for the full year. $2.2 billion was in H1, $0.6 billion was in H2. There's still some float within the overall business that could come back at some point. We're still not quite in neutral. They're still potentially a bias that some of that even in a normal cycle, should come back within non-RMI working capital, $10.1 billion of distributions and buybacks finishing the year at $4.9 billion, having done a lot of good business and shareholder for any payments during the year. What does that mean now with particularly pro forma-wise EVR timing of shareholder distributions and what we've done in terms of capital allocation. The distribution policy mechanically has been in place for 3 or 4 years now as Gary went through, is the $1 billion in marketing and the 25% of industrial free cash flow about sacrosanct base distribution, take it to the bank. That cash is coming each year. And then there's a consideration around top-ups that we do from time to time, at least twice a year that equates to $0.13 a share, still at sort of 3% cash flow yield on the like.  Given EVR, and we're comfortable, and we think that, that's a good piece of business that the company has done in terms of risk-adjusted returns, long-term quality business. And we're always considering deployment of capital, M&A is one of those, buybacks is one of those things. It's definitely competed for the company's attention last year as we went through our sort of capital allocation. What it clearly does do is put a pause on some more sort of distributions. But long term, we're very comfortable that the shareholders will ultimately be rewarded through cash returns and long-term longevity and optionality and value creation that exists in the business. But we did start at $4.9 million. We'll spend the $1.6 billion pro forma for the $6.9 million. And we had announced back in November last year that the business will now be managed towards the same process of capital allocation, but we've reset the $10 billion down to $5 billion in preparation for the intended demerger within 24 months. That's effectively to say the metals business ex coal is a smaller business. It's got a different profile. It's got CapEx profile. It can't necessarily at the ratings and capital strength that we want, sustain a $10 billion. The coal business of itself is a cash-generating machine, but we've assumed that spin it out debt-free that can be challenged as to whether it can take on some debt, and we can sort of look at different structures. But in the ordinary course, we said we want to get to billion. What does that require once we've taken on those 2 yellow bars. We've got to reduce debt down 8.4. As we'll see later on, the business is generating $5.2 billion of free cash flow. That's ex EVR. EVR, highly cash generative will come in at some point. We've just shown illustratively basis tax numbers, what 1 July both in a volume and on an annualized basis, this would be around $3 billion for our 77%. That, of course, is going to help in some of the deleveraging. We've got Viterra. There's a cash element, maybe some working capital. That gives us confidence that the deleveraging towards $5 billion will comfortably happen within the 24 months. And you're going to put in your own assumptions around prices and cash delivery and the likes, but that sort of prepares the business, if you like, for getting to that $10 billion and allowing a demerger proposition that we talk about going forward. That will still be base distribution, have some patience. We think the capital allocations make sense. We think we've done some good portfolio management during the business, shareholders will ultimately be rewarded in space.  In terms of CapEx, we've shown here, the -- well, where we've spent the money in 2023, is $6 billion in terms of capital onto the balance sheet. The cash flow respects after sale of PPE was $5.6 billion, which we saw in the cash flow slide before. We've given different buckets. I think it's quite useful as to where that's being spent across the business, both in commodity and some of the major categories. You can see across processing, across fleets, fixed fleets, mobile fleets, tailings, deferred mining, all the different categories, there is back in the appendix of the presentation as well. There's a Slide 29, all means proves it, daytime reading, maybe later on, more useful and more important going forward, what does it mean '24 to '26 million. We've got an average $5.7 billion industrial CapEx. We haven't given year-by-year because that is a game within this business as well. The exact timing of cash flow projects, expenses, milestone payments, delivery and we're very comfortable that that's a good average over 5.7% from an overall long-term business. It doesn't really matter whether it's a 6 in 1 year or 5.4% the other year. We've historically under spent sort of there tends to be a more lag and some of that as it potentially sort of moves out. So we said 5.7, very comfortable with that's something that's where the business is set up and will support the delivery of production and some growth within the business as well.  Separate from that, because we didn't want to contaminate what that base business is. We have earmarked $400 million in aggregate to the key Argentinian growth projects, both in MARA and Alphason, that's cumulative both projects over 3 years. Both is in, not saying it's 50-50, but it's both sort of $100 million plus at least in each just shows quite significant effort that the work and the team is doing to get these projects further up the value chain in terms of exploration, studies, engineering, drilling, community work, some civils, various sites and stuff that they're doing at the moment. It's getting more intense. Senior management will be making a trip down there to also Argentina in the next month or so, it's quite an exciting proposition. Gary will talk about some of the copper growth as we look forward.  This is ex EVR. Of course, we don't own the business, going through the various approval process expect by Q3. The majority of the CapEx, as we look over the 3-year period, 50% is in copper. Collahuasi is spending quite a bit of money you'd see that through some of the JV partners as there at some of their own views of that. there's a processing projects to get it to 185 tonnes per day, ultimately to 210. We'll see Collahuasi starting to increase production through this next 3-year period. I'll talk to that as well going forward. There's quite extensive deferred stripping fleet replacements, which is normal part of the business and the very big open-cut operations, nickel completion of [indiscernible] depth that by the end of '26 '27 gets our ex K&S business back towards the 100,000 tonnes of nickel per year. Coal is just sustaining fleet replacements mining operation as we go through. Even top right to bottom left, you can see coal is sort of continuing to shrink as a percentage of that overall sort of capital plan. You can see that top right sort of -- goes a little bit through a quartile. It's about 25%, and then it keeps reducing as we look at those.  In terms of guidance, I think some important slides just to wrap up, and then I can hand back over to Gary as well. On the production side, '24, we preannounced that already at the time of the production report a few weeks ago, copper-based business is actually slightly growing, and that's before the '27 to '30 trend, as I'll say. We sell Cobar, that's the reason for the '23 to '24. And '25 to '26 is during that period that the Mount Isa copper operation reaches end of life, which was also announced. [indiscernible] produced 69,000 tonnes of copper in 2 -- so that moves out of the system in the '25, '26 period. You do have some increases, particularly Collahuasi, as I said, in '26 and Mount Isa goes down. As we look towards '27, '30 in that period, we see Katanga, particularly as big being held back at a 220,000 tonnes per year moving to the 260,000 270,000 as we get into '27. Some of that is land access of that is sort of advancements in stripping and ore access that we look in that business. And then clearly, '27, '30 is a period when we should hopefully start seeing some of deployment of capital towards some of those longer-term particularly brownfield ultimately. So El Pachon is obviously there as well. Gary will talk a little bit, but the trend is higher in copper where we have 1 million tonnes per annum of expansion capability.  Cobalt for now has been taken back a little bit in '24 on account of sort of slowing down some of its potential, both in cobalt and in copper, and then '25, '26 could be brought back, obviously, still subject to market conditions, but that's a working assumption that volumes step up again, '25, '26. In zinc, you've got a step -- you got in '24 being a positive movement. You've got Antamina having very low zinc variability, particularly in 2024. You'd see it in Teck and BHP to the extent that they provide some of that. But just our share is about 50,000 tonnes of zinc lower, just in '24. It then bounces back Antamina. So it's very variable, very volatile, particularly on the zinc grades as it moves through its plan as well and then gives up some of that again in '26. And Zinc in '26, you've also got the Lady Loretta satellite operation at Mount Isa reaching its end of life. All that culminating coal fairly steady through this next 3-year period and then starting to move towards its decline with 5 operations having closed in this more recent period, and you've got at least 7 reaching closure times towards the end of the '30s and then meeting out 2035 part of our 50% reduction complete emissions by 2035. Overall production, even ex EVR, relatively flat, you can see in copper equivalent units. EVR, we put in there our 77% of the 25. So it's 20 million tonnes or so. And that adds 16% copper equivalent volume to this business, reasonably material as we look our way through. What does that do to -- what is our cost doing? All of it's heading finally in a positive direction, whether it's through the byproducts, whether it's do with inflation, so on the copper side, this year, as I said, we expect '24 would have even been lower, but for Antamina, which you normally contribute. Antamina steps up again in '25, so if we would roll that forward, all things being equal, you would have another step down even with cobalt prices being [indiscernible]. Zinc steps down quite materially in 2024 and the post-byproduct that's effectively Gyrum , ramping up a lot of that, so you get the denominator impact as you get more units and additional byproducts out of Kazakhstan Australia gold, silver led as well. Nickel, big rebasing around non-K at 489 post byproduct across our Canadian and Australian business. At least, we can hopefully start taking brackets from numbers within nickel business and coal continues to hum along a very good cost structure, 66.8% and a strong margin environment as well across our business. That's obviously ex EVR as well. And finally, a slide before I hand over to Gary, I think it's probably almost one of the go-to slides as people sort of calibrate this against their own models and thinking and we obviously have the benefit of sort of real-time access to this information and what our business is doing [indiscernible] time. We've got an updated spot prices. This was end of January. As we see prices today, we would think it's probably slightly higher if we would a recut. We've seen metals prices in nickel, copper looking okay as well.  So we got $4.1 billion in copper. I've given you costs. I've given you production. It's just mechanically doing the maths around that, zinc business, a nice step up given the both volumes in its business as opposed to the byproduct in Antamina. Nickel ex KNS is 0.5, coal [indiscernible] at anchor Newcastle forward 120, which is about where it is at the moment. Other is the alloys. Hopefully, Ali starts kicking in a little bit as we move forward having bought the Alunorte business, that's where -- this is where it would go. Our equity pickup of those businesses going forward, marketing, that's sort of $3 billion EBIT. There's $15 billion interest tax and CapEx at the 5.7, gets us to 5.2 within the $4 billion, which is footnoted later on the presentation, there is a preliminary estimate for K&S care and maintenance costs. So that's -- that is in there of course, there's some cash that's there to support that business. But we've taken it out of the nickel business specifically and put it down into another category. It's still an estimate working with the team on what that might be.  And then EVR, just basis tech numbers, 20 million tonnes or maybe a little bit under 20 million with their range of '24 to '26 at their recent costs and a forward price on coking coal of the to 290 at a 92% overall realization across the portfolio gives you a $3 billion for a 77%. So that starts looking at what a sort of pro forma business could look like on a 12-month basis. And then since you flow that $3 billion, yes, we've got to fund $6.9 billion, yes, there's CapEx, but it's materially accretive in terms of cash flow as we go forward. So very excited about bringing that into the stable, generating the cash, getting our debt down to where it is and keeping shareholders happy.  So with that, I'll hand back to Gary.
Gary Nagle: Thanks, Steve. Put a few extra slides in the presentation this year. Just to give an outline of what the portfolio looks like, where we are, where we're going. And probably to highlight the fact that our portfolio is perfectly positioned for the future, where we are today and where the world is going.  So I know there's a lot on here, and we're not going to go through each and every word, but I think really the message and the clear indications in the world today is the world is energy hungry. The world needs energy. And it doesn't matter how you look at it. You've got your normal economic growth where the world continues to grow and needs energy. But where else is the energy coming from. You've got electrification of mobility. Clearly, the growth in battery electric vehicles, significant growth. You have electrification of residential heating and industrial processes. We've seen a huge move towards that over the last 12 months and continue massive growth in that direction. And obviously, the other area where we see huge amounts of energy growth, which is outside of the normal energy growth is data centers, AI, crypto, those sorts of things.  So I mean, looking at the graph and some of the projections out there in terms of if energy need the world or the energy demand the world will need in order to grow and continue on the trajectory is, we're going is very strong, absolutely very strong. And how is that hunger for energy being fed. Now a lot of money being spent, as we all know, in renewables, solar, wind turbines and the like and huge trillions of dollars have been spent on that. But there's 2 elements around that. One, trillions of dollars being spent, and it's still not enough to meet the growing demand for energy the world needs. And number two, as is where a lot of the a lot of the world forgets that it's one thing building a solar panel, solar farm. It's one thing building wind turbines, but these need to be connected to the grid. And the ability to connect them to the grid is massively challenged, by some estimates, the world needs to spend over the next 16 to 17 years, over $11 trillion on grid spending, just to be able to connect that power to the grid. Very, very hard ask.  Now the world has to do that. The world needs to grow. The energy demand is there, and we need to decarbonize. But it's not going to happen overnight. It's going to be difficult. Funding is needed, capital is needed, material is needed. And in that time, we're still going to need the power. So where will base low, cheap power come from. It's still going to come from hydrocarbons. It's still going to come from fossil fuels. And if you look at the far left hand -- on the right-hand graph, you can see the amount that's still coming from for power generation from fossil fuels.  Now in the western world, nobody is building new steam coal mines. We're shutting. As Steve mentioned, 12 mines -- at least 12 mines of ours will be shut over the next -- -- well we've already shut 5, and we've got another at least between now and 2035. No one else is building big steam coal mines. So -- and it's the right thing to do to shut mines, to shut mine, to shut stream coal, take it out of the world is the right thing to do. But what does that mean when you've got a demand for power, which translates into demand for fossil fuels and the supply response is not there because people are shutting mines and not developing new mines. That's got to be bullish for faster fuel prices going forward. And we believe our steam coal business as we run it down responsibly, we prefer a value-over-volume model that the value of these mines and the margin that these mines will generate over time as we run down that volume, will be material in our business. So from an energy perspective, supply and energy needs of the world today as we transition to a low carbon economy, we are perfectly positioned within our steam coal business.  Moving into the forward-facing commodities or the metals required for the energy transition, I mean if you look at the top left-hand graph, we've seen China's demand, everybody last year spoke about China being weak and we all know property was weak. And you can look at equity markets in China and things have been weak. But ultimately, we go on what the order book looks like. Where we see material flowing. And last year, China was strong, particularly in the commodities that we are strong in. Demand for China -- demand for copper in China last year was up between 5% and 6%. You can see it for zinc, we can see for copper, you can see for aluminum, very strong demand from China last year. And what's driving this demand? It's not a little bit, yes, it's property completions. But when you look at the other big growth pillars within the Chinese economy, it's solar installations. It's wind installations. It's battery electric vehicles. This is driving. Its grid spending, this is driving the demand for materials in China, and we see the order book strong this year again. They continue to buy materials as we transition to a low-carbon world.  So in the middle, when you look at global growth of these key commodities that we trade, Yes, the blue shows some implied demand weakness in the traditional markets, but that's more than offset by these new demand growth from EVs, from winds, from solar and the like. And that's why we've seen growth in China, and we expect continued growth in China for demand in these key commodities.  Moving to the last part of the slide on the right-hand side of the slide, I think the numbers speak for themselves. And it's not so much the percentages, but the size of the bars where you see solar, yes, last year, solar was up 100%. This year, it will be up, contrary the number on that slide is 18%. But in terms of actual units, it's bigger than it was in 2023. This is more units going into China for solar, same for wind, same for battery electric vehicles. So the fact is they are producing more and more of these units, which means they need more copper, more nickel, more cobalt, more aluminum. And likewise, when you look at global forecast, momentum over the next 5 years. That's just a 2024 number. But when you look at a global longer-term or medium-term forecast, growth is significant. So the amount of metal needed to meet these targets is enormous.  So from our perspective, the demand side of the equation is very strong. So let's move to supply. The left-hand side is one of the leading publications on their data on what happened to copper supply during 2023. Now we know the story of 20223. We started where everybody expected 2023 to be, in fact, a slight surplus in terms of supply to the market. And in fact, the world of 2024 would also be a surplus because you had to growth of the new big projects, [indiscernible], QB2, Kamara, all those coming on. But as 2023 progressed, we had issues in Panama. We had issues in Chile. We had issues in Peru. We had issues in Africa. And ultimately, what everybody started the year thinking supply would be was down over 1.3 million tonnes for the year.  In 2024, again, there are challenges around where copper growth will come from. You now have QB2 at nearly full capacity. [indiscernible] at name paid capacity. [indiscernible] is done. [indiscernible] is done. There's nothing more coming. We saw BHP's results the other day. In 2, 3 years' time, Escondida starts dropping off again. So where are the new trends and when you look at TCRCs, you look at stocks in warehouse. That tells you a story. The market is tight, and there's no ability to supply those tonnes into the market for the growing demand that we spoke about in the previous slide.  So that tells a great story where our metals businesses. We are absolutely set up and I'm going to spend a little bit of time in a slide or 2 on our copper business because our copper business has really got huge potential to continue to grow and to supply the future needs of the world at very good margins for our business.  Before we go there, I just want to talk about one other critical mineral. And in some parts of the world. Steelmaking coal is classified as a critical mineral, particularly in the EU, and they're discussing it to do the same in Canada. Steve talked a little bit about EVR and when we closed that transaction, EVR is a major producer of hard coking coal, 24 million to 26 million tonnes, our equity share around 20 million tonnes. And that high-quality hard coking coal is absolutely essential in steelmaking. And that's still needed for the transition whether it be for the wind turbines, whether it be for the transmission grids, whatever it may be, that still is needed, and there's no immediate or short term replacement for hard coking coal. 90% of the global blast furnace fleet is less than 15 years old. It's a very young fleet of blast furnaces. And this will be for a very long time. So the demand for hard coking coal looks very strong over the next short, medium and long term.  So those are the 3 pictures of where our business is an excellent steam coal business that's running down in an energy-short world, an unbelievable metals business that's -- where the demand is growing, and I don't think the world can keep up with that growth and a soon-to-be incorporated coking coal business with a very good future for coking coal for steelmaking coal.  So moving a little bit onto what our copper business is, and this is -- it's not a full deep dive, but a little bit of more detail about what we have in our portfolio because this is ultimately where huge value, huge growth is created for our shareholders and for our company through our copper business. What have we done over the last few years? So we've reset our portfolio a little bit. We've got -- we've disposed of some of the smaller and more difficult mines. Mopani, as you know, has gone, and we'll recover some of that vendor finance loan through the process of a sale process at CCM is going through at the moment. We've disposed of Ernest Henry and Cobar and we've used the cash that's come in through that recycle that cash very well, some to shareholders and some investment in our business into very good assets.  So our business is now focused on large long-life, low-cost copper units in excellent geographies. We spent time during the year updating that portfolio. We have within our portfolio, nearly 20 billion tonnes of copper resource at a grade of nearly 0.6%. And I'll talk you through some of where that's come from. A little bit obviously come through a joint venture with Teck and New Range joint venture with Teck. That's a copper nickel project. We've now moved to 100% ownership in PolyMet. As you know, before, we were a majority shareholder, but we didn't own the whole of the company. We've now the minorities. And that's added quite a lot of resource to our global resource in terms of units, 1.5 billion to 2 billion tonnes of resource.  The El Pachon project in Argentina is looking more and more exciting by the day. I mean the more we drill the more we find. We've added another 2.7 billion tonnes of resource to that through the drilling. The drilling program is far from complete. Sometimes Peter Freyberg says, "Well, we've got to stop drilling because we just -- we keep finding more. So when do we stop? It's a terrific resource base. We continue to grow that resource base, and we've added 2.7 billion tonnes of resource to that.  And the other big area of growth within our resource base in copper is MARA. As you know, during 2023, we bought out the remaining 56% of that brownfield project, a very good project. I mentioned earlier, near the old Alumbrera infrastructure. That's added over 1 billion tonnes of resources to our resource base. That takes us up to close to 20 billion tonnes from where we were a year ago, reporting probably about 14 billion or 15 billion tonnes.  And going forward, I talked about the drilling at El Pachon. It's now going to be Zavier's decision if we stop drilling or we carry on. But ultimately, this is a terrific resource base. It's a strip ratio of 0.24 and that resource base has so much more potential. We are earmarking $400 million over the next 3 years. It's not in our capital numbers, but we're earmarking $400 million over the next 3 years to continue the development and the feasibility studies and early works on those 2 key projects.  Both projects, as you know, in Argentina, a very business-friendly administration in place in Argentina. Steve mentioned a trip to Argentina will be going down there next month. Anne Edwards and I, our Head of Corporate Affairs, met with much of -- some of the senior government officials from Argentina in recently and the message coming from them is very encouraging, very business-friendly. They're looking for investment. They want to give certainty to investors. They want to see investors come and spend their money in their country and be able to take the money out ultimately, create jobs, create opportunities and do well.  So the noise coming out of Argentina is excellent. It's looking like a very exciting country, and we have 2 big projects there. So for us, excited about it. We're building internal capabilities. Now we're not going out spending huge amounts of money on greenfield projects right now, don't get ahead of yourselves. We're just showing you what the possibilities and options look like. We're staffing up in the right -- bringing the right resources in there. But at 8,500 copper, I can guarantee you, we're not bringing on any new units. The market, as I said, looks tight, but the price is not reflecting that tightness. And at Glencore, we would never bring units into a market in anticipation of higher prices. We want to see higher prices. We need to -- and we believe the world will have higher prices because of the supply-demand deficit and it's only at that stage where we bring these units into the market.  So on the final slide, just a quick overview of what we have and what we are, familiar slide, but just to cover a little bit of what we've spoken about before. In terms of the transition commodities, we have a major portfolio. We're in all the right commodities, very, very large in copper with huge growth potential in copper, a growing business, industrial business in aluminum, cobalt, and we believe the future for cobalt looks strong despite current weakness, it's more of a supply issue right now in cobalt rather than demand and a nickel business, yes, a nickel business is a little bit challenged at the moment, but given the geography and the cost structure of our nickel business being in the Australia and Canada, a good future for our nickel business.  We spoke about our copper projects and we have more than 1 million tonnes a year of potential growth. Of course, no one's ever building any 4 or 5 projects at the same time. That will be crazy, but the ability to bring on over 1 million tonnes of production as the world needs it, as the price, as the price those units in the market, we have that ability within this business.  We haven't really spoken much about recycling. I know it's been a topic in many other presentations. That business continues to move along very nicely. We have good tonnes coming out of that business, cheap, low carbon, some of you on the trip to our recycling operations in Canada -- U.S. and Canada last year, you've seen the quality of that business, and we continue to promote that business; a, because it's the right thing to do; and b, because it's a very good return on investment for us within Glencore.  And with that, we also have our current energy needs. We touched on our steam coal business. We supply the energy the world needs today as we transition into a decarbonized world. And lastly, obviously, our marketing business, which is a terrific business through the cycle, has delivered, continues to deliver. Yes, the last few years, well above the top end of the range. But regardless of the market, that's delivered a solid result, which underpins a very good dividend to our shareholders. Steve touched on the spot illustrative numbers, EBITDA and cash flow of $15 million and $5.2 billion, respectively. And obviously, once EVR closes by Q3 of this year, that adds an extra $3 billion of EBITDA basis spot pricing.  With that, I'll turn it over to Q&A.
Q - Myles Allsop: Would you just talk a little bit about the coal markets? Obviously, there's a lot of worry about pricing and how low can coal pricing go. Do you think we're getting to a level now in the different regions sort of Newcastle benchmark, is there much more downside risk if we continue to have lower gas prices and mild winters and so on, do you think we're getting close to the floor. That's the first question?
Gary Nagle: I mean obviously, coal price at $120, who was sitting out 3 years ago, everybody would be celebrating at a coal price of $120, they wouldn't be able to believe it. So we just need to a bit measured in terms of what is a low and what is a good or a bad coal price. I mean, $120 out of Newcastle was still not a bad coal price, and particularly given our cost structure. What we are seeing, and maybe this will answer your question, is we're seeing, and particularly in South Africa, South Africa struggles with the rail. So a lot of the coal is now being trucked. And through the course of January and into February, we've seen significant amount of coal not being transported by truck. With a rand where it is an API4, FOB reaches Bay prices where they are around about $90, that money, it's not making sense. So those trucks are now coming out of the system and that coal is not going on down to Richards Bay, down to Maputo, down to Durbin, not going down anymore.  So the answer is we're into the cost curve for those in trucking in South Africa. We've seen some small supply response in Indonesia on the low CV as well. So there's no crystal ball miles, as you know, but it's the indications in the market or where you see tonnes coming out and exports not happening. We're seeing it in South Africa. We're seeing it Indonesia already. So we're confident that we're in a region now where we don't expect much more downside of coal for the remainder of the year.
Myles Allsop: Maybe just on cobalt as well, obviously, market looks heavily oversupplied. It looks like sort of China [indiscernible] have swamped the market. How much inventory have you built and how long do reckon it will take for that market to normalize again?
Gary Nagle: So the cobalt market, I mean, you could probably put demand into 3 buckets, as I'm sure all of you know, you've got electric vehicles, that looks strong and remains strong. And you've seen some of the numbers on there. Of course, the LFP batteries we're talking about the long range, high end and that looks very good. So the demand side looks good for battery electric vehicles.  Aerospace and defense is the other bucket, and that looks very good, clearly, with current geopolitical issues and things like that very good. So that's strong. And what's been quite encouraging where it was weak historically, but is now coming back is consumer goods, electric goods and homes, and we're seeing that spending coming back. So the demand side is looking encouraging. Supply miles rewrite. We've got Kisanfu ramping up in the DRC. You've got the HPL nickel plants in Indonesia with the Cobalt by-product. So this is an issue not about demand. This is an issue about supply. We think and we do have stocks, and we're not rushing to sell stocks. These are not stocks if we need to rush them out the door. Cobalt hydroxide doesn't take up much space. It's fine. The carrying cost is not all that much for us. We'd rather hold those stocks and bring them into the market when that supply-demand balance gets back into place. And in fact, the demand continues to outstrip supply. We then have the ability to sell those stocks into the market when we see higher prices. So for us, I mean, again, it's not a crystal ball thing, but there is a period -- we do see a path to a supply deficit again in cobalt over the coming periods.
Liam Fitzpatrick: Liam Fitzpatrick, Deutsche Bank. Two questions on the CoalCo separation. If we look at the slides, it looks like you're going to have a very cash-generative coal business once EVR completes. So do you still think it's the right thing to do to split the business? And should we expect you to really come out and try and sell this to shareholders post deal completion?  And then on the timing, is it really this $5 billion net debt level that we should be thinking about in terms of dictating the separation timing? Or are there other areas we should think about?
Gary Nagle: I'll let Steve talk about the net debt. I mean when we announced the transaction, we said our intention was to spin out and that is our intention, but it's always subject to what our shareholders want, and we will consult with our shareholders and it's the decision of the shareholders ultimately to do that. But as we sit today, it's no different to when we announced the transaction, our intention is to spin out.
Steven Kalmin: And yes, I mean the $5 billion is the number that we felt was appropriate to allow the balance sheet separation because the metals business, given it's a smaller business, we've seen some of the margin environment there. We've got the copper sort of growth profile. It would be a level that we don't want to be sort of continuously jumping and changing and moving. We would have felt that, that their anchors strong BBB, and we can go back to a capital return framework that we have with the Metals business that we previously had at the 10, we'll be at the 5. So 5% is sustainable for that business generate the cash sort of paid out. So it would need to from our perspective in terms of sort of balance sheet prudence and the right way to separate the business, we want to get to $5 billion.
Liam Fitzpatrick: Just as a quick follow-up, where I was getting to on that, is it really that, that will dictate the timing, i.e. you'll do it as soon as possible once you're close to that level? Or is it you can get below it? And just as long as it's within the 12 to 24 months?
Steven Kalmin: Well, I mean, the 12 -- the within 24 months was always put out there as being a level that we were highly confident and comfortable that would allow one to get from wherever we were pro forma to get towards 5%. So depending on what scenarios you run about prices, it will be -- I mean, at $5.2 billion, if that number was higher, of course, you there quicker and various other scenarios. So we will -- it just is a clearly a number out there that we are working towards. We're managing the balance sheet towards clearly now with the fact that base distribution and moving towards that 5.  So it's a financial sort of environment that would allow it. Then there's all the work that obviously needs to happen. I mean this is a massive undertaking when you talk about a large business that needs to demerge and separate. If you think about all the work; a, getting EVR in the first place, then you need to start untangling offices, companies, tax, rulings, more then. I mean, this is not a job you do in 5 minutes anyway. So it's effectively a function of time, it's a function of balance sheet, and it's a big decision. It's a function of shareholder engagement as well and making sure that if that's ultimately what's put to shareholders that, that is absolutely the right decision and that certainly is the intention, but shareholders own the company.
Robert Brackett: Yes. In terms of MARA, if we think about the $0.5 billion that you spent last year. Should we think of that as an option on future copper price? Or when you sanction that $0.5 billion, does that require MARA to show up in the portfolio at some time? And what causes you to pull the trigger on MARA other than, say, $10,000 sustainable copper?
Gary Nagle: I mean, if you look at the graphs that I put up, I mean, you could call it an option value, but it's not an option value. MARA is one of the lowest capital intensity projects in the world. It's brownfield. It's now in one of the best geographies for projects in the world, to be honest. So it will show up, but we will be absolutely disciplined. So we are here deploying shareholder funds, and we want return for our shareholders. So to bring on copper just because we think it's a nice project or it's low capital intensity or that's not what we do. We bring on copper when we can meet and we're confident we can meet our hurdle threshold returns.  So yes, that ultimately will make it to the market. Will we put a time date on it today, no ways, because the market will dictate it. Now whatever the copper price is that would detect in a sustained copper price that takes the right time to bring that project on to the market, that will be it. And if we need to sit on that project for an extended period of time, it's okay because we'll make it later, when we bring it on in a higher price environment. We certainly won't be rushed to bring it on because we deployed this capital, and we think we need to bring it on just because we deployed the capital. The money we make by, in fact, weighting will be significant.
Robert Brackett: A follow-up related to the coal potential demerger, does that process of acquiring Elk Valley, generating free cash flow from it, getting the balance sheet fixed, does that keep you in any way from being nimble or strategic for things that happen in the market between now and the next 24 months?
Gary Nagle: No. We will remain nimble and remain strategic. At the end of the day, I've said before, this company was built through M&A. It's in our DNA, but we only will do value-accretive M&A. So we have balance sheet strength. We have balance sheet headroom. And to the extent the right opportunity presents itself, it doesn't stop us doing it. But we're not out there with the shopping list going to run off to something just for the sake of something. The right value, the right proposition comes up. We have the ability, the agility and the nimbleness to be able to do backing.
Jason Fairclough: Jason Fairclough, Bank of America. Two quick ones. First, just on Koniambo. How should we think about a divorce payment or ongoing requirements to write checks?
Gary Nagle: The commitment we've made, and we're a responsible operator and we've done this thing responsibly. Think about what we've done. We've said we're going to transition this thing to warm care maintenance while we look for a buyer, so really, there's an [indiscernible] commitment. We've also committed to keep the workforce, the full workforce, local workforce on the books for 6 months. So at the end of the day, we don't want to be penny wise pound foolish here. We've got our reputation to protect as well. Steve can talk a little bit on the numbers. But we want to do this the right way. It's not going to be massively material within Glencore and our reputation is more -- is in fact, more material. So we'll do it the right way. There are some numbers. I don't know how much detail Steve wants to go into that, but we're going to do this the right way. So it's not just a write a check and run. We do this thing properly.
Steven Kalmin: Jason, I can't be specific on numbers because I mean we're still working through sort of budgets and there's a partner involved there and sort of multiple stakeholders. But ultimately, it would be a pathway clearly towards getting to a level that is much smaller on if there was longer-term care and maintenance, of course, if there's another buyer and they step in fine that would an elegant solution for all concerned, it would be certainly less expensive than continuing to operate it, and we'll do the right thing by workforce, by environment by contractors and everyone is working there.
Gary Nagle: I think Steve's point is right. The key point is, it will be less expensive than continue to operate.
Jason Fairclough: Just one other one, if I could. The -- you'd said that you were going to stop buying Russian aluminum, I think as we go into next year, is that right? Where do we stand with sourcing Russian products for your trading business? And how do you think that evolves over the next couple of years?
Gary Nagle: So our policy on Russian material hasn't changed. We have a hosting contract with Rusal, which is a volume contract, which runs out over time. And that will -- once that volume is fully delivered, that's when the contract ends. Our Russian policy is clear is that provided that the material or the counterpart is not sanctioned, we are required to, in fact, legally, we're required to continue to lift that material for contracts that existed pre the Ukraine, Russian war. We also said we'll not enter in the new Russian contracts for any new Russian material unless directed to by governments, and we haven't. So that contract remains and will continue to perform under that contract as we required to do until the end of the contract.
Jason Fairclough: So just in the context of that, you're talking quite a bit about aluminum, your aluminum flow is about to get a whole lot less, so how do you think about that?
Gary Nagle: Well, once the contract comes to an end, whenever that may be, it will get less. And there's the rest of the world market that we can trade in. But at the moment, that flow still comes because we're required to and that contract still goes until the end of that volume.
Ian Rossouw: Ian Rossouw from Barclays. Just a question. Obviously, over the last year, you've talked about potential synergies between Collahuasi and QB2. Has there been any progress since it seems like the partners are now more aligned speaking to each other?
Gary Nagle: Yes, look, I mean, Jonathan and I have discussed it. Duncan and I have discussed it. Everybody is and I don't want to speak on their behalf clearly, but everybody is aligned that there are material synergies to capture across those 2 operations. There's a piece of work to be done around how 1 captures that and how 1 divies up the spoils but all I can say is everybody is aligned. I mean, there's remits not only [indiscernible] and it's not only Jonathan. We also have the Chilean government is a partner with Teck in QB2. They are Japanese partners across both operations. So we need to be considerable partners, and there's many people at the table here. But general consensus and view across the major partners, is there synergies to be captured. Let's get on with it.
Ian Rossouw: And what -- I mean what needs to happen now in terms of it's just time to work through that.
Gary Nagle: Yes. It's complex. It's complex. As I said, because you've got different partners on boats on all servant sides, you need to be sure that all partners are comfortable. We've got to work out exactly what those synergies are. We know broad big picture, and we did some work on it anyway as part of the Teck proposed transaction course of last year, there's a little bit more certainty one wants to get around that and how to work. There's obviously tax issues, structuring issues and how you ultimately divide up that part.  So this is just a process that one has to go through, but I don't think I haven't heard from any of the partners that nobody is interested in sort of banking or trying to capture those billions of dollars of synergies.
Ian Rossouw: And then just on the -- you mentioned it briefly earlier about the Mopani restructuring and getting some of that proceeds back. Is that still being negotiated? Or can you share some of the detail?
Gary Nagle: Negotiation is largely between ZCCM and the buyer. ZCCM did put out, I think it was a sort of preliminary press release a little while back, which put out some of the details of what that transaction looks like, and that's the give or take a few changes here would look like. It's largely between ZCCM and the buyer. We're obviously involved given the debt that we have, and there will be cash flow that comes back to us, sort of in line with what was already put out there.
Ian Rossouw: Maybe just one more, Steve. You showed attributable EBITDA for EVR. Is that how you will report it? Or is that just for this slide?
Steven Kalmin: Where we actually may consolidate it. So we may bring in 100%. But for the purpose of a cash flow analysis, I didn't want to be disingenuous and be throwing higher numbers out there and getting any confusion. So it was all done attributable. Ultimately, it's likely to be consolidated.
Dominic O'Kane: Dominic O'Kane from JPMorgan. I just wanted to push you again on the comments about being nimble and the slides that Gary you talked at the end about copper growth. Obviously, there's some more creative and more opportunistic M&A options available in the market at the moment. Do you see a scenario where a coal demerger is there less value-accretive option for Glencore versus things that you might see over the next few years? Or is it something that you're going to be led by shareholders?
Gary Nagle: We'll be led by shareholders.
Dominic O'Kane: Just back on Koniambo, I guess one of the factors that will come into play is rehabilitation provisions and potentially if that's a benchmark for divorce payments. Could you just remind us where we sit on that? And then second question on coal, the coal price outlook. You've articulated a very bullish case for thermal coal. I'm just -- could you provide a bit more color on the next couple of years and how you see that playing out versus the LNG relationship? Are we going to move to a structurally higher ratio versus LNG potentially because of the supply...
Gary Nagle: Yes, let's take the Koniambo rehab question, I'll just answer that quickly. Look, it's no secret and the world knows there's a significant amount of LNG coming to the market from 2026 onwards. You've got the Qatar is bringing on their new production -- more production coming out of the U.S. So yes, a lot of LNG coming. Where we see the predominant amount of that LNG going, a lot will go into China and will, in fact, displace domestic Chinese production. That's where we see a lot of that going now. You'll always have that trade-off between LNG and coal, of course, but you've got a growing demand for energy, growing demand for fossil fuels to meet that energy demand. And the Chinese where they will play the economics and the way they set their price for domestic coal because I don't want to run the -- they don't want prices too high for power pricing. They don't want coal prices too low that their mines in loss that they would ultimately start to replace domestic coal with a lot of that LNG. Ours, we play generally into other parts of the market, the higher quality coal. And that's where we see, of course, a little bit of downside from that but not material, maybe $5 or $10, that that brings -- potentially brings things down. But that also could displace Indonesian exports, which would then shut because they compete on the lower quality with Chinese domestic coal. So yes, there's more LNG coming into the market, but ultimately, the world needs the power. The world needs the fossil fuels, and we think the Chinese domestic production will be the first reactor to that extra LNG.
Steven Kalmin: I think in terms of K&S, it's been premature to start talking about sort of rehab ingate, I mean it's going into warm care and maintenance. Clearly, there's sort of tremendous sort of energy and overall hopeful sort of momentum around seeing if there's a sort of finding another partner. So there is a process, you have the local partner for in state, of course, is very interested in the overall future profile industrial activities within the sites. There's been a lot of money that's been spent on that site, whether there's some repurposing, whether there's shippers, they mean these things could be clearly used for the long term in terms of infrastructure. There's the mining, the resource is clearly there. There is value. There's a whole range of activities that could be done across that site for many, many decades to come. So anything around rehab and obligations and the like is highly premature.
Matthew Greene: Matthew Greene from Goldman Sachs. Just on MARA, what's your -- there's a lot of study, a lot of expense here over the next few years. Has the scope of this project changed relative to some of the price stays that have been completed by the previous owners. And I appreciate your comments not want you to bring this side until the market is ready. But from an approval, a permitting standpoint, when do you think MARA could be shovel ready?
Gary Nagle: I mean, our -- in terms of the project scope hasn't changed materially. I mean just a little bit more work done and -- but the project scope hasn't changed materially. I prefer -- I don't like the word shovel ready up prefer shovel-worthy and it will be shovel-worthy when the price is right. So that's when we'll bring it on.
Matthew Greene: And then just, Steve, on the marketing guidance. You mentioned the elevated rates impacting the $3 billion you've guided to this year, have you taken a stance on rate cuts? Or is that based on where we stand today?
Steven Kalmin: That would be where we stand today. But a rate cut of itself would be neutral to the underlying cash flow. So a rate cut, then take -- if you take $100 million of that, take $100 million of the interest line. So it's sort of neutral from the cash flow.
Matthew Greene: Sorry, I just squeeze one more in. Just on the CapEx guidance for copper, a lot of stripping and upgrading equipment. Would you say there's been an underspend in this division? Or are you looking to better capitalize this division with the EVR cash flow?
Steven Kalmin: I don't about an underspend, -- it's just the waves of the sort of development life of asset plans. They sort of go through waves. You're going to different sections, you access new areas, you get your permits, you expand. So just -- it's a cycle that would be for a year or 2 in copper. It's probably been a below average cycle over the last 5, 6 years across the portfolio. Now you go through a bit higher over the next 2 and then you settle into a longer-term lower range. So it's just pure you just take the long-term mine plans on these things.
Unidentified Analyst: The first question is for Steve. Can you remind us of the cash inflows that we should be expecting in '24 in addition to the normal course of the business such as Bunge payment, Mopani and so on. And as an extension to this question, in a scenario where you had the $5 billion way earlier in the 2 years' time frame you provided, should we expect a return of the buyback.
Steven Kalmin: Certainly, yes, on buybacks. I mean, as soon as it's job done and notwithstanding timing of any sort of separation, you're at the sort of threshold there, so hopefully, yes. So other than, yes, you've got the $1 billion sort of tera proceeds. You'll have some Mopani proceeds and they spoke about elements of upfront and which is the lion's share of what we are discussing maybe a few that have a longer tail or exposure installment. You've got some residuals of our previous M&A completion. So on the MAX side, as I said, we've already banked 75. You've got some more to go on that through even when we sold the Chad oil business, there's still some sort of deferred consideration on that. So it's not billions of dollars, but there is a few hundred million across some of these nonoperational areas that I suspect is not in any of your models. But yes, so it will come through.
Unidentified Analyst: Okay. And the Volcan sale process, what are the stumbling blocks of that process? And do you have any visibility on time lines?
Gary Nagle: I mean there's no stumbling blocks. It's just a process. I mean you know how these processes taken, obviously, market conditions also dictate sort of the appetite for buyers to transact the right terms and conditions and us as well, we want to transact on the right terms and conditions. So this is not something that, again, fire sell, and we just want to show it out the door. We want to be responsible. We on properly and there are certain conditions that we need to be met for us to do that. So we will do it as fast or slow, that's necessary to do a transaction that's right for our company.
Srivathsan Manoharan: Sri from RBC. My question is on working capital. So in 2022, there was a $14 billion working capital and $4 billion was released in 2023. And with marketing earnings normalizing coal and gas markets coming down, how should we think about working capital for the first half of this year?
Steven Kalmin: Yes. As I said on my -- when I sort of went through the release of the $2.8 million last year, there still is some capacity and some working capital that is still embedded within the balance sheet that could return in the right conditions and the right economics. That number that you first raised it wasn't -- there was sort of $5 billion in the marketing working capital and sort of $2.8 billion of that has sort of come down. So I would say it's not yet in neutral. There still is some elevated non-RMI working capital that could come back and would come back, frankly, even if we were to go towards middle to lower end of those ranges. Some of it is price of a correlation. Some of it is just voluntary deployment of working capital where we can take a sort of margin from optimizing it within our books. I mean there was a particular counterpart that we -- in the last sort of 12 to 18 months where there was sort of exposure of a sort of $250 amount in receivables, where commercial and marketing flows, good security, very healthy returns. We could have chosen not to do it, but I'd take 20% IRRs on some of that sort of business. So that's sort of something that we know is going to be repaid in this next 12, 18 months, something like that. There is a little bit of that. So...
Anthony Robson: Tony Robson Global Mining Research. Sorry, stole the mic. Medical, what is the -- we had a lot of discussions on thermal? What's met coal like this year? I see big price discounts to U.S. West Coast to Queensland. Is that telling us something we should be concerned about in the market?
Gary Nagle: Steelmaking coal still looks good. I mean you saw the graph that I put up there on the demand side, it looks healthy. We don't see demand erosion or demand destruction in any material shape or form in the short, medium or longer term to be quite honest. It's one of those commodities that is just, a, not really substitutable. There may be just the talk of the green steel and all that sort of stuff. But when you get into the scale, the economics, they produce green hydrogen, produce ammonia, transported, all those sorts of things, electrical furnaces ultimately, the world view is that steelmaking coal is here for her to stay. So -- and the need for it and the need for steel critical for decarbonization. So the demand side is -- it looks very strong. The supply side, we will play our share, and we will supply our material into the market and hopefully feed that growing demand. Like any commodity, you have supply demand, but prices are still very healthy. You've got spot prices at -- spot prices of $310, $315 a tonne, FOB Australia for the high-quality material. Long term, the forwards are still very strong as well. So sort of if you just look at the forward markets and what consensus is, it looks very good for steelmaking coal.
Unidentified Analyst: Three quick questions. Firstly, on the marketing business, has the red sea disruptions kind of impacted your marketing business at all, especially in context of the so-called geographic arbitrage you have between prices in different geographies?
Gary Nagle: I mean I don't like to think about it that way because obviously, our biggest concern is about the well-being of any vessels and the crew on any vessels that we have on the water. Naturally, as a bar product of some sort of geopolitical tension that does create opportunities. I don't sit here and try and identify and say, yes, we made a whole lot of money out of these things. But our main concern is that there has been disruptions, there has been issues. There has been diversions. You've got more sailing rates, you've got higher freights in certain categories of freight, not really dry bulk, but more container. And that has created certain arbitrage opportunities, which we have capitalized on, but that's not something that I pay that much attention for. I'm more concerned that through these disruptions, our assets and our people are safe.
Unidentified Analyst: And then just on MARA again. Have you had any discussions with the new Argentinian dispensation. And would there be any scenario where they could offer some tax incentives for you to pull forward the project other than copper price?
Gary Nagle: I mean we have -- I think I mentioned earlier, in Doubles, Anne Edwards, and I met with the Chief of Staff. We met to the Minister Mine met to a whole bunch of the Argentina administration and really a breath of Fresh. These are -- they are smart, they are focused, they are dedicated. They know what's good for the country. They've got plans in place. They're implementing them very, very encouraging. And I'm not going to get into specific details of what we discussed. Steve mentioned and I mentioned we're going to go down there next month. And obviously, for us, the driver, obviously, we need a risk-adjusted return. The driver will be the returns. We want to see the returns. The other thing that we've got to remember from is that -- we've got an existing copper business of close to 1 million tonnes. You don't want to bring tons on an existing project that in itself is not bad IRR, but maybe cannibalizes your existing business. So we've got to take into account the entire portfolio. So ultimately, whatever time it takes for us to bring Omar's got to be an incremental IRR improvement for our business, not just an isolated project that looks good, but perhaps it has a flow on impact into some of our other projects.
Steven Kalmin: But some of the stability factors will be very relevant ultimately in sanctioning projects because historically, there has -- Argentina had a check in history clearly in terms of getting money out and stability and the like. So that sort of overall sort of construct of committing long-term capital. And they've said as much. I mean, in fact, there's sort of extending arms and all that stuff, but ultimately, I don't know if it's tax or whatever else. For us, it's about stability and you're making decisions basis these goalposts and you can count on those goalpost being where they are for 20 years. I mean that's the key.
Martin Fewings: Okay. With that, I think we'll draw to a close. Gary concluding remarks.
Gary Nagle: I mean I think without repeating the entire presentation, our portfolio is very well positioned. Energy demands of today, very -- are being met through our steam coal business, and we'll continue to run that down responsibly with elevated margins on our steam coal business. We have the right commodities for the energy transition and new commodities, well, a growing part of new commodities. We already have coking coal in our are still making coal within our portfolio, but a large, long life, best-in-class Tier 1 steel making coal business coming into our portfolio. along with our best-in-class world-class marketing business, our recycling business, we set up for many years of great shareholder returns.